Operator: Thank you for standing by and welcome to the Enovix Corporation Third Quarter 2022 Earnings Conference Call. Currently, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. As a reminder, today's program will be recorded. And now, I'd like to introduce your host for today's program. Charles Anderson, Senior Vice President of Investor Relations. Please go ahead, sir.
Charles Anderson: Thank you. Hello everyone and welcome to Enovix Corporation's third quarter 2022 financial results conference call. With us today are President, Chief Executive Officer, and Co-Founder, Harrold Rust; and Chief Financial Officer, Steffen Pietzke. We will also be joined today by Chief Commercial Officer, Cam Dales; and Chief Technology Officer and Co-Founder, Ashok Lahiri for the Q&A portion of our call. Harrold and Steffen will review the operating and financial highlights, and then we'll take your questions. After the Q&A session, we'll conclude our call. Before we continue, let me kindly remind you that we released our third quarter 2022 shareholder letter after the market closed today. It's available on our website at ir.enovix.com. A replay of this conference call will be available later today on the Investor Relations page of our website. Please note that the shareholder letter, press release, and this conference call all contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are based on our current expectations and may differ materially from actual future events or results due to a variety of factors. For a discussion of factors that could affect our future financial results and business, please refer to the disclosure in today's shareholder letter and our filings with the Securities and Exchange Commission. All our statements are made as of today, November 1, 2022, based on the information currently available to us. We can give no assurance that these statements will prove to be correct and we do not intend and undertake no duty to update these statements except as required by law. During this call, we will also discuss non-GAAP financial measures, which are not prepared in accordance with Generally Accepted Accounting Principles. You can find a reconciliation of the GAAP financial measures to non-GAAP financial measures in our shareholder letter, which is posted in the Investor Relations page of our website. I will now turn the call over to Harrold to begin. Harrold?
Harrold Rust: Thank you, Charlie and thank you everyone for being on the call today. Enovix made strong progress in the third quarter that advance our goals to continue commercializing what we believe is the best product in the lithium-ion battery market that will allow our customers to deliver transformational features and products to the world. This is evidenced by the strength of our large revenue funnel and increasing engagement with leaders in portable electronic products and EVs. We have active engagements with six mega cap technology companies, two of which we have designed wins with. And today, we are announcing a non-binding MOU with one of these leaders. Under this agreement, Enovix and this customer will work together to leverage our technology across their broad product portfolio, and further collaborate on our technology and manufacturing scale up. We believe we are well-positioned in the portable electronics market overall with more than 75 accounts [clambering] [ph] for our products due to our technology leadership and energy density and safety. We continue to grow our global reach throughout Asia and have engagements with leading smartphone OEMs in China and major consumer brands in Japan and Korea, including Samsung. We are also seeing strong interest from leading automakers given our fast charge advantages. And in the third quarter, we shipped production sales from initial testing to a Tier 1 EV battery supplier and a Top 10 global Auto OEM. Our task remains to scale the capacity for our revolutionary product with our Gen2 Autoline, the engine of growth for the company.  Together with our key vendors, we made excellent progress at Gen2 during the quarter, including placing initial purchase orders for our laser patterning, assembly, and packaging lines for long lead materials design and proof-of-concept projects to demonstrate the design improvements built into Gen2. These 47 projects are presently be completed with our key vendors and have thus far validated the design concepts and improved performance of Gen2. We have also placed a follow on purchase order for the remainder of system fabrication with our packaging equipment vendor and expect to do the same with our [Technical Difficulty] and battery assembly vendors in the next several weeks. We believe that we remain on track to land our first Gen2 line in the second half of 2023. In total, over the last nine months, we've incorporated over 120 learnings from Gen1 into the detailed designs for Gen2, resulting in a line that can assemble and package many more batteries in the same footprint with significantly less capital per battery. I'd like to highlight a few areas that illustrate why and how Gen2 is such an improvement. First, we have a laser patterned electrode form factor that allows us to deliver breakthroughs such as a 100% active silicon anode and safety innovations like brake flow that uniquely address thermal runaway. Laser patterning is at the core of our technology and we must become a world leader in that field. To support our vision, we announced today a collaboration with IPG Photonics, a global leader in laser technology. Our alliance with IPG provides ongoing access to the most advanced laser technologies and has already resulted in our Gen2 lasers having 5x the power of our current Gen1 far ahead of our original scale up plan. Second, in stacking, we are eliminating a frequent manual alignment of four independent [punch head] [ph] and replacing them with a single punch head that stacks four batteries simultaneously. This is an example of one of the proof-of-concept projects we launched months ago that has already been proven out long before the production tools are even built.  Thirdly, we are making a major change in how we transport and process batteries. In Gen1, we use a low precision, low speed conveyance system that moves batteries between each assembly station. For Gen2, we have replaced it with a high speed, high accuracy linear motor that has only become recently available. This eliminates the need to move batteries on and off the track, increasing throughput and reducing the complexity, size, and cost of the equipment as we can now process on the track directly. In addition, we expect it to prove our process capability and yield as the accuracy of the linear motor is often better than the Gen1 [fixed stream] [ph]. And lastly, we have learned in Gen1 how critical automated [vision systems] [ph] are for both inspection and [metrology] [ph]. They detect issues instantly, drive faster yield learning and increase equipment uptime. We have added significantly more metrology to Gen2 with this learning. Given our high and increasing confidence in Gen2’s superior performance, it has become clear to me that we must begin redirecting resources to Gen2 even at the expense of the ongoing improvement activities of Gen1. From the beginning, we knew that improvements in learning at Gen1 were less about making Fab-1 one run better and more about making Gen2 as perfect as we could. Our goal is to replicate multiple Gen2 lines in the future, directly on our own, and indirectly by a licensing and joint ventures with a roster of high profile customers and potentially incumbent battery readers. For those of you familiar with semiconductor history, it is our blueprint for copy exact. We believe that the result of this change in emphasis will be lower volume from our Gen1 lines and Fab-1 and Gen2 – until Gen2 ramps in 2024. It was a tough decision, but I feel it's the right one. Now, I'll turn the call over to Steffen, who will discuss our financials and after that I'll make some closing remarks. Steffen?
Steffen Pietzke: Thank you, Harrold. Our detailed financials and the reconciliation between our GAAP and non-GAAP results can be found in our shareholder letter. So, I will spend my time covering a few high level topics. We recognized a nominal amount of revenue in the third quarter as we focused our efforts during the third quarter on optimizing Fab-1 and shipped the majority of our batteries as samples for customer qualifications. Our adjusted EBITDA loss in the third quarter was $20.2 million, compared to an adjusted EBITDA loss of $18 million in the second quarter of 2022. Excluding stock based comp, our non-GAAP operating expenses in the third quarter were $19.4 million, down from non-GAAP operating expenses of $19.5 million in the second quarter of 2022, which also excludes stock based comp. We closed the third quarter of 2022 with net cash of $349 million, down from $385 million in the second quarter of 2022, due to $20.6 million of cash used operationally and $16.9 million of cash used on capital expenditure. Now, let's discuss our guidance. For full-year 2022, we now expect to use between $130 million and $150 million of cash, of which we expect roughly 40% will be CapEx. We are lowering our cash used guidance, primarily due to the timing of capital expenditure payments for our Agility Line and final payment milestones for our first Gen2 line. For revenue, we continue to expect to recognize between $6 million and $8 million for full-year 2022, with service revenue being a significant contributor. Before I turn it back to Harrold, I want to highlight that in this quarter's shareholder letter, and investor presentation, we are sharing details around the economics of the Gen2 line. Many shareholders have asked us how to best model our Enovix scale up and we believe the Gen2 economics will allow you to do that. To summarize, we exited the quarter with a very strong balance sheet and with Gen2 underway and the [caliber] [ph] of customers. We have we believe we have the ingredients to scale and realize our vision of every person being positively impacted by Enovix innovation every day. I will now turn it back to Harrold for closing remarks.
Harrold Rust: Thanks, Steffen. Our task ahead is clear. Continue to push the boundaries of what's possible with our technology, while developing and bringing up a world-class Gen2 manufacturing line, to fuel our growth and satisfy our customers. On that first point, I'm pleased to report that we are now far along with a new technology node we call EX1.5, which sits within our first technology node DX1 and our second generation node DX2. We have successfully built EX1.5 wearable size batteries in our R&D line that equate to 965 Wh/l for a smartphone size battery, up from 900 965 Wh/l for EX1. We anticipate sampling this technology next year to customers. This gives us confidence in our long--term energy density roadmap and our ability to move off the industry's historical trend of meager improvement. I'm more excited than ever with the progress we've made with our technology, our customers, and our Gen2 manufacturing line. The collaborations we've announced today with industry leading customers and partners supports our vision and highlights the compelling value we bring to the battery industry. With that, I'd like to turn it back over to the operator for your questions. Operator?
Q - Colin Rusch: Thanks so much guys. You've obviously been testing this equipment and working on it for quite a while now. Can you talk a little bit about the decision-making and some of the triggers for shifting a little bit of the CapEx strategy and deciding to move forward with the Gen2 line in the way that you are?
Harrold Rust: Yes, Colin, thanks for that question. I think it's really not a question of shipping. CapEx focus is really a question more of, as we get further and closer to Gen2, we want to make sure from a resource, internal resource standpoint. We've got all the talents on that. We need to make that successful. We spent a lot of time the last two quarters extracting all the learning out of Gen1 and I'm pleased to say, I think, we're not seeing additional learnings come out. So, I mean that effort is, kind of timed out. And we basically, as a part of that solve the big problems we think that we're in Gen1 that go away in Gen2. And so, we want to make sure we sufficiently staff Gen2 to make sure that that comes in to hit its objective and timeline. And that's what we got to do. That in my mind is the most important thing with the company right now because that's the blueprint for how we scaled our business going forward.
Colin Rusch: Perfect. That's actually quite helpful. So, then shifting gears towards the customers, obviously, there's an awful lot going on and you've talked a little bit about having to prioritize customers, but can you talk a little bit about how you're moving through the qualification process with those folks and the design in process. The numbers haven't shifted too much in the funnel, but I'm assuming that you’ve made some meaningful progress and discussions and moving through some of those technical details and planning – and their planning process?
Harrold Rust: Yes, I'll just briefly comment and let Cam pipe in. I think from a manufacturing standpoint, we've delivered a lot of samples out of Fab-1 in support of the customer qualifications. Those parts have been hitting specifications and those qualifications have been progressing quite well. And I'll let Cam add a little bit of color to that.
Cam Dales: Sure. Thanks, Harrold. Hello, Colin. Yeah, to give you a little bit more of a sense of where things are in the funnel, the overall funnel is relatively stable in terms of the total dollar value and we've been focusing on moving programs from, kind of design opportunities at the top down into active design and then design wins. And I think we're up to nine design wins now. So, as those programs progress through that – those stages, it really goes from sampling R&D sales originally and now most of our samples are actually coming off of Fab-1. I think we ship to 25 different companies today off of the Fab-1 line. Customers run those cells through their test programs really matching them up against their own requirements on their products. Then the focus switches to either using a standard cell, which we have a couple that have been defined off of our lines or to move to a customization program where we build a sale specific to customers. So, we've launched a number of those. And then it really comes down to moving into full manufacturing qualification. Part of that is testing and kind of detailed reliability on cells of the factory line, as well as the auditing and the managing of our quality systems in the factory. So, I would say most of our focus now with these programs is, kind of in those latter stages. A lot of effort going into the quals and certifications from a quality perspective on the line in preparation for more meaningful volume shipments next year. And then really through next year, a number of significant qual programs, which ultimately will be planned to launch in 2024 on the Gen2 lines at significant volume.
Colin Rusch: Great. Thanks so much guys.
Operator: Please standby for our next question. Our next question comes from [Technical Difficulty] JPMorgan. Your line is open.
Unidentified Analyst: Yeah. Thanks for taking my questions. Wanted to get some clarification around what is left to, I guess, be solved for Gen2. It sounds like you still are on target for second half of 2023, but I guess how much more work if you can quantify or what types of areas need to be completed in order to be ready for shipping in the second half of next year? And I guess, sort of related to that, you talk about now Gens and lines and Fabs, but you really didn't talk about where this is going to be going, I guess, in terms of a Fab footprint. Are you still thinking about the potential two Fabs or is this – I mean, how much is this the internal capacity or maybe partnership finance or other means?
Harrold Rust: Yes, thanks for that question, Bill. So, I think relative to your first question, Gen2 is pretty far along in the design process. I would say detailed design process and we expect that we'll be kind of going into final detailed design review towards the end of this year, right? And so, we've got high confidence given the interactions which are very regular that that's going to pan out well, but that's kind of your final checkpoint where you've looked at every single part and you're ready to proceed, kind of simultaneously with that, we're going to finish up the last of the proof of concept to just validate the design thing. So, I think the things are all on track and those vendors are moving very quickly. So, I'm quite confident we'll be in a position to get through that and then have that equipment show up in the second half of next year as we've talked about. Relative to your second question, Fab2, for us, the equipment is really the long pole in the tent. And while we've continued to look at facilities and we have multiple options; we haven't made a decision yet. We'll do so. We're going to do it in a time that I thinks that’s advantageous to us, but rest assured it will be before that equipment needs to have a [home] [ph].
Unidentified Analyst: Okay. Sounds like that won't be the long pole, but that's good to hear. I guess, sort of [pivoting] [ph], when you think about your funnel and design wins, I'm assuming this is primarily against conventional lithium-ion batteries, you're taking the steps to really focus on getting ready for the, I guess, Line 2 and new Fabs. But I guess one of the risks are is that competition could catch up or other – your customers, interesting customers may need to be looking at other means. I guess, what are you seeing from the competition? What are the risks that are associated with having other, let's say, higher energy [indiscernible] companies out there trying to intercept the market in 2024. Just trying to get a feel for how the competitive landscape could evolve in the absence of having product – meaningful product in the market today and really not that much next year either?
Harrold Rust: Let me – let Cam feel that and I've got, kind of one comment after that.
Cam Dales: Yes, sure, Bill. So, with respect to competition, particularly in the consumer space, we're not seeing a shift in the competitive dynamics from what we've experienced over the last year or many years really. The industry continues to move forward that it's, sort of steady material based set of improvement in terms of energy density. And we also are moving forward I think at a rate that's faster than the market. So, in our communications, we talked about our next node of performance being Ex1.5, getting a [sub 2] [ph] 965 Wh/l. So, what I see with specific customers we're talking to is that that is extremely competitive. We don't really see anything that's kind of out of the historical norms from the industry and people remain focused on our solution as really kind of their best bet to move the needle in terms of competitive advantage.
Harrold Rust: Okay. And Cam, you actually added on what I was going to add-on. So, he answered the question, sorry.
Unidentified Analyst: Just to be clear, you’re not seeing other sort of silicon nano newer players being in the competitive space at the moment. It's more – they're looking to work with you and locking with you in the 2024 timeframe?
Cam Dales: Yes. I mean, we certainly do see the industry as a whole continue to adopt silicon materials on the anode side. What we see is that most of those are blended with carbon. And ironically, as you kind of plot the improvement in energy density at, kind of a product global – kind of global view, it kind of – it just essentially adds to the 4.5%, 5% increase that you see every year in the space. And so that's something that we've always anticipated would happen. We didn't always know how it would happen. And if you kind of look at where we're at and our trajectory in terms improving energy density, we’re still remaining, kind of that five years ahead of where the industry is today.
Unidentified Analyst: Okay. Thanks for the color.
Operator: Please stand by for our next question. Our next question comes from Alex Potter with Piper Sandler. Your line is now open.
Alex Potter: Great. Thanks a lot. So, I appreciate the new color on CapEx guidance. I just want to ask a couple of clarifying questions there to make sure I'm understanding it correctly. So, it looks like 50 million to 70 million in CapEx for a single Gen2 line, and you can make 9 million cells, my interpretation is that that's like smartphone, cellphone sized cells assuming 80% yield, is that the right way to think about that?
Harrold Rust: Yes, I think you're right. It can make 9 million smartphones sized cells. The OEE is a combination of yield and basically equipment availability. So, that's basically how many good cells you're getting out of possible 100% you get out of every moment of every day you're running. So, I think you've got it right.
Alex Potter: Okay, great. And then you also mentioned, sort of in the same paragraph that you could make in the same footprint a similar line that can make 4x as many cells if you are focused on smartwatches, is the CapEx for something like that also in that same range?
Harrold Rust: I would say, we're still in the middle of, kind of doing the proof of concept for that. My guess there would be slightly higher, but I think economically it would still be a significant, significant advantage over where you would be with a single battery per line?
Alex Potter: Okay.
Steffen Pietzke: Yes. Alex, it’s Stefan. Maybe to give you a little bit more color The way you have to think about it, we gave you the CapEx for a universal line, right, it can make smaller cells and large search and certainly from the gross margin perspective like larger cells are more attractive, right? When we start deploying the Gen2 line, my expectation is that it's gravitated from the mix perspective towards the large cells. From a dedicated line that Harrold was alluding to on a variable size, my expectation is that the CapEx will be higher, but the gross margin will look better.
Alex Potter: Okay. And just unclear, in Fab-2, you've not yet disclosed how many of these lines you contemplate building. Is that accurate or would you just start with one line?
Harrold Rust: Yes. So that we are proceeding with one-line right now that will land in the second half of 2023, our plan is to actually add additional lines that would come in 2024 into that Fab-2 location.
Alex Potter : Okay, great. I'll take the rest of this…
Harrold Rust: More than one line running by the end of 2024.
Alex Potter : More than one by the end of 2024. Perfect. Okay. Thanks very much. Thanks very much guys.
Operator: Please standby for our next question. Our next question comes from Anthony Stoss with Craig-Hallum. Your line is now open.
Anthony Stoss: Thanks. Harrold, I wanted to follow-up on the new track transport system. It seems relatively new and I understand the laser side must be much more difficult. Can you quantify maybe how much risk that this may introduce? And then secondly, I love to hear your thoughts since BrakeFlow has been out a couple of months. I want to hear, kind of the early customers that weren't afforded BrakeFlow out of the gate, you know now if they have a little bit of time, can they come back or what's the reception there? And do you think most of your customers will have to go with BrakeFlow?
Harrold Rust : Sure. So, on the first point around the track, even though this technology is new, it's being made by a very reputable company, right? And so that technology even though it's new, I think, is already out in the market and works quite well. So, I think it's a pretty – it's a very low risk thing in my view. The difference is that these kinds of systems are around a few years ago, they just didn't have the same performance and it allows us essentially to eliminate having to move parts on an off this track for processing. So, there's just a bunch of overhead time you take out of the manufacturing process, which is great, but does not value add. So, I don't think there's a risk there. I think it's actually a much better way to run the line and we're super excited to be able to do it. I'll let Ashok talk a little bit about the BrakeFlow or maybe and Cam about, kind of from a customer standpoint and technology standpoint. I don't know which…
Ashok Lahiri: Sure. Happy to jump in. So, on BrakeFlow, you know the plan for launching that is to launch that with the launch of our larger size cells. So, essentially smartphone size cells and up will have BrakeFlow built into it. We're currently not thinking about offering this as a menu item for people. We think this is something that's inherent in the technology and it's part of our overall value proposition for the product. So, with respect to customers that would not have it, the launch of our wearable cells today don't have BrakeFlow associated with it, but of course the amount of energy in that cells is lower. Over time, we expect that all of our products will incorporate BrakeFlow and it's our hope that this becomes, kind of a standard expectation from customers like why wouldn't yourself be resistant to thermal runaway? We think it's an important foundational technology there.
Anthony Stoss: Great. Thank you, guys.
Harrold Rust: Thanks.
Operator: Please standby for our next question. Our next question comes from Gus Richard with Northland Capital Markets. Your line is now open.
Gus Richard: Yes. Thanks for taking my question. Next year, I think majority of your significant portion of revenue is going to be professional services. Can you just – is that just NRE helping your customers design in your batteries or is there something else related?
Harrold Rust : Yes. So, Cam commented a little bit. I mean, I think each of these programs has some amount NRE around them. And so, I think next year is a combination of production output and NRE.
Cam Dales: Yes, Gus, this is Cam. I don't know whether I characterize it just as NRE, but these are essentially product development programs where we're customizing batteries specific to somebody's requirements. And so those programs can vary from simple size change to enhancing the product with respect to, for instance its temperature capabilities, etcetera. And so, but they're all typically around developing products to meet customer specific requirements.
Gus Richard: Got it. And then in terms of the MOU, you guys announced, what is that program I guess for lack of a better term, sort of entail, what are you working with exactly with that customer?
Cam Dales: Yes. So, thanks for that question. We're super excited about this. This is another step in, kind of a long-term relationship with this particular customer. It's one of the – our strategic accounts. In fact, it's the same customer that we announced purchasing wearable sales for their next generation smartwatch in Q2. And so, since that time, we've been working with them to try to put in writing the vision of the two companies of how we would work together and that's the MOU as a result of that. And while it's non-binding, it's really the roadmap and the framework for working together towards definitive agreements that move forward commercially on each of these areas. And the areas that we're collaborating on together, first is batteries for multiple products within different, kind of vertical segments of their product lines, so wearables, mobile phones, laptop, computers, and other mobile products. Second is customization of sales to their specific requirements, often around these specific product categories. Third is collaborating with them on – in the area of proprietary active materials. So, think about better performing cathodes or electrolyte systems that they would like to incorporate into their specific products. And then fourth, collaborating with them on manufacturing and scale up in order to enhance our ability to support their volumes over time, which if we're successful here, could be quite substantial. So, you put it all together, it's a non-binding MOU, it's non-binding, but we've spent three hard weeks or months negotiating every word of that agreement so that it accurately captures what both companies want to do together and we use that as a roadmap towards the specific commercial agreements to come.
Gus Richard: Got it. And on the last element of that, MOU, the manufacturing scale up, this sounds like a roadmap in order to get the products that they want, ending in assuming this is one of the mega cap companies, your ability to, sort of meet or your mutual ability to meet their significant demand. Do I understand that correctly?
Cam Dales: Yes, that's exactly right. And this is one of the mega cap companies, that is why we call strategic account. And so given the volumes we're talking about, we don't expect to be able to support this customer's complete volume needs on our own. And so, this is a piece of our model going forward as we look at joint venture partners and potentially licensing to hit those volumes.
Harrold Rust: And I think even dedicated capacity plays, yes.
Gus Richard: Got it. And then just one housekeeping question. And I think at the end of 2023 line or [Gen1] [ph] equipment will produce a little bit less than a million units, is the second line in Fab-1 considered Gen1 or Gen1 or Gen1.5?
Cam Dales: It's Gen1.
Gus Richard: Okay. Very good. Thank you so much.
Operator: Please standby for our next question. Our next question comes from Ananda Baruah with Loop Capital. Your line is now open.
Ananda Baruah: Hey, good afternoon, guys. Thanks for taking the question. Yes, a couple if I could, really, the first is clarification from the shareholder letter, in the language where you talk about Fab-1’s on a handful of high profile customer launches and then also qualification programs of strategic accounts and in 2023, are those one in the same?
Harrold Rust: Cam, why don't you feel that one?
Cam Dales: Yes. So, no, those are not one and the same. So, in 2023, the earliest programs that are going to reach market are typically not the strategic accounts. Those are longer-term programs, but we're working with some pretty exciting products with some well-known brands that we hope to have on the market in 2023 and can be – we can support those volumes out of the Gen1 factory. The strategic accounts, we're looking to start scaling those in 2024 with significantly more volume than we can produce in Fab-1. And so, the focus for Fab-1 from a strategic account perspective is really working through qual on a number of different programs with – I think we've said we're working with fixed strategic accounts at this point and have reached tech qual with four of them and design wins with a couple of them. So, there's a lot of activity there. It's supporting their prototyping and qualification efforts through 2023 and anticipating volume production in 2024.
Ananda Baruah: Great. And Cam could you do initial volume production with any of the big strategic accounts? Could Fab-1 accommodate that in 2023?
Cam Dales: Potentially, it depends on the specific product selections and the volumes that are contemplated in that type of program.
Ananda Baruah: Awesome. And a quick follow-up guys. There is, I guess, sort of another clarification. There was a remark to an earlier question that Gen2 will gravitate toward larger cells. And I guess just sort of – can you sort of add some context for us there, given it also sounds like Cam, Gen2, just sort of your remarks a moment ago about, Gen2 really being used to ramp some of the big strategic, though it seems like some of the smartwatch business will also be some of the initial big strategic business, can you just put that with the remark earlier Gen2 will gravitate towards the larger sales?
Cam Dales: Yes. I think – I would say, if you think Ananda over the longer-term, think of a factory that will have small cells predominantly running on these [ForEx] [ph] lines that we've talked about earlier. I mean, in the initial days with the first lines, I would view that we'd be doing both small and large cells on those first lines, but then as you get into 2024 and 2025, you'll have dedicated lines tuned for the small cells and then this other Gen2 line will become kind of your standard for the larger cells because economically that's what's going to make the most sense.
Ananda Baruah: Got it. That’s helpful.
Cam Dales: But in 2024, I would expect we'll be doing both of those things off those lines probably, undoubtedly.
Ananda Baruah: Appreciate that. Awesome. Thanks Cam.
Operator: Please standby for our next question. Our next question comes from Derek Soderberg with Cantor. Your line is now open.
Derek Soderberg: Yes. Hey, guys. Thanks for taking my questions and it's great to be back on these calls with you guys. So, on the comment that Gen2 could be improved by up to 10x in terms of output, I think the wording around that was that it's going to lower the cost per unit, but I think you guys put out a similar gross margin estimate target of 50%, I'm wondering if you can help me square that commentary? Steffen, are you guys sort of managing towards 50% or can Gen2 equipment sort of drive margins beyond 50%, I guess how should we think about the impact Gen2 equipment is going to have on margins? Thanks.
Steffen Pietzke: Thanks, Derek. So, from a Gen2 perspective, the way we have to think about the margin, our long-term model is the 50% gross margin and 30% EBIT. The larger cells would have exceptional margin at that target range. The smaller cells at the [indiscernible] that Harrold was talking about will have larger gross margins blended with the product mix between small cells and large cells and phasing-out the single small variable lines that's what we are targeting to get to 50%. It’s a blended range. It's a blended number at 50%.
Derek Soderberg: Got it, got it. That's helpful. And then I also wanted to ask about the EV announcement on some of the progress you guys are having with the DOE program. I think you guys have said 1,500 cycles while retaining 88% capacity. I guess I'm curious how does that compare to other batteries on the market today? I mean, is that a differentiator for you guys potentially? And then also, I'm curious, where are you guys tracking on a watt hour per liter basis on those EV test cells at this point?
Harrold Rust: Yes. Thanks, Derek. I'll let Ashok kind of talk to this one as he's been kind of driving a lot of this effort.
Ashok Lahiri: Sure. Hi, [Ananda] [ph]. So, yes, certainly 1,500 cycles for a high silicone blend, let alone a 100% active silicone blend, as well as 10-year calendar life are exceptional numbers for an EV class cell and it really shows the power of our architecture. So, it is definitely differentiated from I think other products on the market in your, kind of your second question is how would this manifest itself into a product. I think I'll let Cam, kind of answer that question, but we have a dedicated team that is taking this information and this data and translating it into a product that customers can use.
Cam Dales: Yes. Thanks, Ashok. So, as we announced maybe a couple of quarters ago, we created a dedicated business unit called Enovix Mobility. Their [charter] [ph] for this [Technical Difficulty] has been to establish relationships with the major automotive OEMs worldwide. And then to start working with them on essentially translating our clear technology capabilities that have been proven on the consumer side and then translate them into an optimum product in the automotive side with the goal of early next year, essentially picking our dance partner partners from the OEM side. So, I think they've been making really excellent progress there. One of the interesting points is that it turns out perhaps one of the most important advantages to the architecture that we've developed is its thermal properties and its ability to enable fast charge. And so, when you add the silicon anode piece for energy density, the cycle life, which Ashok commented on and you add that to a cell architecture that is just extremely beneficial from a thermal fast charge perspective, we think we have a really winning product here and we're getting some great feedback along those lines.
Ashok Lahiri: And just one last comment in terms of volumetric energy density, we will easily beat the, kind of the long-term DOE goal of 750 Wh/l by scaling up those, that chemistry into larger cells.
Derek Soderberg: That's great. Thanks guys.
Operator: Please standby for our next question. Our next question comes from Chip Moore with EF Hutton. Your line is now open.
Chip Moore: Hi, thanks for taking the question. Wanted to ask on the Gen2 Autoline, getting to that 9 million cell level you laid out in the shareholder letter, is there a good way to think about that ramp as you build that out?
Harrold Rust : Yes. So, we've got those first lines hitting the floor in the second half of next year, right? Towards the end of the year, early part of 2024, they're shipping qualification samples to customers, which doesn't actually consume that much capacity. It basically just starts at the clock on those calls, which could be a month or several months. And then you're basically ramping that capacity throughout 2024 in terms of the lines capability. So, I would kind of think of it as a bit linear throughout the year, and you'll be probably still working on some of those improvements in the 2025, but significant amount of that capacity growth will happen in 2024.
Cam Dales: Even those lines [indiscernible].
Harrold Rust: And as we talked about earlier, our plan is actually to land some additional lines in that same state in 2024 as well.
Chip Moore: Okay. No, that's very helpful. And then I just wanted to ask on, just the increase in throughput, the 10x increase, maybe you can talk about just the flexibility that gives you whether it's on form factors for new markets or maybe there's limited volumes upfront, just what that potentially gives you?
Harrold Rust : Yes, I mean, it certainly opens up a world of possibilities. I think there's – we obviously understand, kind of the established markets and products, but there's emerging markets that are coming at us that I think would give the opportunity to really leverage that. Certainly also the 4x, kind of wearable cell line is going to be a game changer for some of these markets like augmented reality when they take off. So, I think that effort is really directed at being ready for those opportunities when they arrive and we think that's the right investment for the company to make.
Chip Moore: Got it. Great. Thank you.
Operator: Please standby for our next question. Our next question comes from Marc Cohodes with Alder Lane. Your line is now open.
Marc Cohodes: Thanks guys. So, did I hear you correct saying you had design wins from some of the $200 billion customers, is that right?
Harrold Rust: That's correct.
Marc Cohodes : Okay. So we take that concept and these customers are obviously smart, and they know that Fab-1 was a beta plant all along, proof-of-concept plant all along. So, these guys have design wins, they must have a schedule of when these products are coming out, right?
Harrold Rust: That'd be a good assumption.
Marc Cohodes: So prevent them from funding their own Gen2 lines right now?
Harrold Rust : Yes. So Marc, I mean, obviously, we can't get into specific discussions around specific customers, but that's certainly part of our vision. And if you look at the MOU that we just signed, one of the provisions there is to look at exactly that.
Steffen Pietzke: Hey Marc, this is Steffen. I think you need to look at this as a capital light opportunity for us to bring [indiscernible] Gen2 lines in very quickly.
Marc Cohodes: So, under that concept, though, Cam, why wouldn't these $200 billion customers simply fund Gen2 lines right now? I mean it sounds like Gen2 is ready to go. And if you guys are ordering equipment for Gen2, why couldn't the $200 billion customers order equipment and you guys run them? Why can't that happen tomorrow?
Harrold Rust: It could. This is Harrold. I would say, Marc, we've got – we want to get through this final design checkpoint right in the next couple of months, right. So, that we've got that locked and loaded. I think we would have the confidence at that point to move forward with additional lines if customers are willing to help do that and we'll do some of it our own, but I think we won't shy away from customers wanting to be a part of that solution.
Marc Cohodes : So, you're potentially two months away from the good to go on the Gen2 line, is that it?
Harrold Rust: I think we're looking at getting, kind of sign off end of this year, early part of next year, but in that ballpark.
Marc Cohodes: Okay. Cool. Thanks guys.
Harrold Rust: Thank you.
Operator: I would now like to turn the conference back to Mr. Rust for closing remarks.
Harrold Rust: Thanks for everybody's time today. I just wanted to kind of wrap up and kind of hit on, I think kind of the three major takeaways that I want you guys to all have about the company. The first is customers continue to tell us we have the best battery out there. The work we talked about on EX1.5, which is this new kind of intermediate technology node is this kind of evidence of us continuing up that energy density curve in support of our long-term model. We think that's super powerful and puts us on a curve that others can't be on, which is great. We've also made a lot of progress I think in technology with some of our key partners. We mentioned the IPG partnership today, which is, we think is very critical because we're going to be big huge and laser consumer and that's a big part of our business and we need to be world leader in that space. Second is that we've got the world's biggest customers on us to make products for them and we want to capitalize on that demand, and so, we're just very well-positioned with our customers. And the third is that we're ready to go with this Gen2 line. We've done a lot of hard work on Gen1. That's been [loaded] [ph] into Gen2 and we're going to be ready to execute on that [set] [ph] to grow this company over the next couple of years. And so we think that puts us in a fantastic position to satisfy our customers and deliver value for our shareholders in the future. And with that, I think I'll wrap up.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.